Operator: Ladies and gentlemen, thank you for standing by. Welcome to Gato Silver's Financial Update Investor Conference Call. Presenting today will be Dale Andres, CEO of Gato Silver; and Andre Van Niekerk, Chief Financial Officer. We will conclude today's session with a question-and-answer period, where other members of the Gatos Silver management team will be available. [Operator Instructions]
 Turning your attention to Slide 2. Please note today's call contains forward-looking statements. Various risks and uncertainties may cause actual results to vary. Gatos Silver does not assume the obligation to update any forward-looking statements.
 I would now like to turn the call over to Dale Andres. Please go ahead. 
Dale Andres: Thank you, and good morning, everyone. Turning to Slide 3. We are very pleased to report that we have filed all outstanding financial filings. This has been a huge job for the team this quarter, including getting 6 quarters worth of financial statements and restatements finalized all at once. Now that we are current, we have scheduled our annual meeting for September 6. And most importantly, having completed the outstanding filings allows us to focus on extending the mine life at Cerro Los Gatos realizing the full potential of our highly prospective district.
 The CLG operation has been performing extremely well with record mill throughput, and we are very happy to finally be talking about our financial performance. Highlights include record free cash flow at the Los Gatos joint venture of almost $29 million in the first quarter of this year, adding to the already strong cash balance at the joint venture level. While our corporate expenses contain several nonrecurring items over the past few quarters, we continue to be net debt free at the GSI level.
 Last year's discovery of the Southeast deep zone, with that discovery, we are targeting meaningful additions to the mine life. On top of the resource and reserve potential at Cerro Los Gatos, we are continuing to optimize to lower costs and drive margin. Later in the presentation, I will go through some of our exciting district targets that we are advancing.
 But first up is our CFO, Andre van Niekerk, and he'll take us through the recent restatements and financial statements that we made over the last few days and present the financial metrics from 2022 and the first quarter of 2023.
 With that, over to you, Andre. 
AndrÃ© van Niekerk: Thanks, Dale. Slides 4 and 5 explain the impact of the reset. Firstly, at our 70% Mexican joint venture level and then secondly, the [indiscernible]. Slide 4 shows that the LGJV level changes were old tax related. We identified that the JV did not properly recognize certain current and deferred tax assets and liabilities at December 31, 2021, and these made deferred tax assets have been recognized during the 9 months ended September 30, 2022.
 Adjustments were required to the calculation of the deferred tax assets related to properties, plant and equipment, mine development and historical net operating losses. In certain cases, the tax basis was also not calculated correctly. As a result, the LGJV understated the value of the deferred tax assets and its net book value at December 31, 2021, and overstated it at September 30, 2022.
 The graphs at the top show that the shifting of some of those assets earlier into 2021 resulted in higher income in 2021, offset by lower income in 2022. The net impact of that shift, however, is minimal on the net book value at the end of the restated periods less than $4 million.
 Slide 5 shows the impact of the Gatos Silver level. As previously disclosed, it was necessary to take an impairment on the value of our investment in the LGJV related to the 2020 technical report reserve errors. The adjustments associated with the restatements increased the impairment from $51.6 million to $80.3 million as a result of 3 main factors.
 The first is related to the increase in the book value specifically the increase in the net book value of the LGJV described previously. Secondly, the accounting recognition of a priority dividend payable to our joint venture partner was changed. And thirdly, there were several changes to the fair value model.
 The cumulative impact of those changes was a $29 million increase to the impairment at the end of 2021. Those changes also led to a reduction in book value at the end of the restatement period, September 30, 2022, of just over $30 million.
 Slide 6 shows the financial results of the LGJV for the first quarter. Realized metal prices during the quarter were strong, but revenues were impacted by a $13.6 million negative provisional revenue adjustment on open sales, which resulted in revenues of just under $70 million for the quarter.
 The other impact on net income was higher depreciation and amortization. We depreciate assets based on tonnage, so the highest tonnage process during the quarter plus the capital that was added from the tailings dam raise and the pace plant in 2022, drove the DD&A number higher. The final result was net income of $12.7 million for the quarter.
 Slide 7 shows the financial results for Gatos Solar. We had expenses of $5.5 million for the quarter and net income of $0.8 million. It's important to note that we incur expenses to help manage the JV and the JV management fee of $5 million per year or $1.25 million per quarter is recorded as other income.
 As we announced last Friday, we have reached an agreement in principle on the U.S. class action lawsuit, an allowance for our portion of the funding, which is estimated at up to $7.9 million with the risk coming from the insurers was accounted for in 2022. Some of our additional costs associated with [indiscernible] may be accepted by the insurers to the actual disbursement may be somewhat lower.
 Slide 8 shows why we are so confident in this asset, generating consistent strong cash flow period-over-period. The LGJV produced $157 million in cash flow from operations in 2022 and $40 million in the first quarter of 2023. Our rate of sustaining capital spending is now decreasing as the operation has settled into an optimization phase.
 You can see the quarterly spend has dropped from about $20 million in the third quarter of 2022, down to $11 million in the most recent quarter. The combination of continued strong operating cash flow and decrease in capital spend has also led to record free cash flow and low all-in sustaining costs. With lower slower rates expected for the remainder of the year and slightly higher capital spending, we expect all-in sustaining costs will increase in subsequent quarters, but we expect to remain within our current guidance range for the year.
 During 2022, the joint venture started distributing dividends to the partners with $29 million received by JSI after accounting for the priority dividend and withholding taxes.
 I will now hand the presenting over to Dale to take you through some of the operating factors that contributed to our strong cash flow. 
Dale Andres: Thanks very much, Andre. Slide 9 shows a few key metrics of the Cerro Los Gatos operation since the processing plant started up in 2019. The feasibility design for the project was 2,500 tonnes per day. And since the middle of 2021, we have continued to optimize well beyond this level, and we know the plan still has more capacity.
 We think we can increase ore production from our underground mine through additional long-haul stoping, getting the most set of our new pace plant and by increasing our mobile fleet productivities. We do expect that silver feed grades, which is shown in yellow in the graph to decrease towards reserve grade over the coming quarters and years as we move deeper into our deposit. And we do expect base metal grades to increase somewhat as well.
 We are continuing to push down on costs at the same time as we increase our production. Last year, we saw big cost improvements related to our new renewable energy contract, and we have multiple continuous improvement projects currently underway to continue to offset the inflationary pressures that have been impacting both us and our peers.
 We were really happy with the last all-in sustaining cost marker on that bottom graph showing our first quarter performance, and we expect our all-in sustaining costs to increase over the next few quarters. we do continue to expect to finish the year within guidance in the $11 to $13 per payable ounce range.
 Turning to Slide 10. The figure shows a long section through our deposit. There are currently 6 surface drills and 3 underground rigs actively drilling at the mine. And we are targeting to add up to 6 years to the mine life by mid-2024. So that's just over 12 months away.
 The focus in the second half of last year was drilling to convert higher-grade inferred resources, which are shown in green on this slide to the indicated status to add to the reserve and mine life. That drilling was very successful in hitting mineralization and a new life of mine plan and reserve incorporating this drilling is expected to be announced before the end of the upcoming quarters. So that's in quarter 3. 
 Last October, we announced the exciting Southeast deeps discovering, shown below the reserve on this image, which has the potential to significantly extend the mine life. Drilling shows the mineralization in this new zone extends 1 kilometer along strike and our deepest reported intercept is more than 400 meters below our current reserve.
 Our plan is to report inferred resources in this area in this year, so in the upcoming quarters, resource update, which we will complete shortly. We need to drill it out to indicated status before it can be converted to reserve. And so we currently have 6 surface rigs that are drilling to 50-meter spacing, which should convert that to the indicated category, and we're aiming to have that ready for our 2024 mineral reserve and mine plan update, as I mentioned, in mid-2024, so mid next year.
 Turning to Slide 11. While we are really pleased with the progress in and around Cerro Los Gatos, the big potential upside is in our district. The joint venture holds a concession package that is roughly 50 kilometers by 40 kilometers and extend. We currently have more than 45 individual prospects identified, and most of these are in the andesite build shown in light green that runs from the Cerro Los Gatos mine up to the edge of the property in the Northwest. So that's the top left-hand side.
 Closer to the mine, there are a series of large structures that appear to have all the right ingredients for mineralization sitting between the Cerro Los Gatos mine and the Ester deposit which is located less than 5 kilometers away, where we have a small resource already. Detailed mapping of this area is already underway, and we plan to drill more in this area in the second half of this year.
 We also have a large structural feature, the Rio Conchos Basin, shown in brown, that sits immediately to the northeast of Cerro Los Gatos. The area is covered by some gravels, but we feel this has great potential to have both big structures and the right rock types that could host more Cerro Los Gatos  volumes deposits.
 The map on Slide 12 shows some of our priority targets that are within a few kilometers of our current operation. We have already made a good start with the greenfields exploration so far this year and are improving our understanding of the districts and the focus on mapping with our focus on mapping, geochemistry and geophysics.
 Shown on the previous slide and located about 22 kilometers north of our current mine, we have completed a drone survey in the Lince area that is delivering high resolution images to aid and direct our district mapping. The mapping and rock geochemistry completed already is promising, and we expect to be drilling in this area later in the year as well for this year.
 Back on this map, closer to the current mine, Cerro Los Gatos, we are in the process of conducting a magneto-telluric geophysics survey that we expect to help us track structures through the basin. Earlier this year, we identified veining that is extended up through the Epoclastics in the Santa Ana area, which fits with our premise of big structures underneath the basin. The zone is within a couple of kilometers of our current underground development.
 Along our basin margin, Northwest and Southeast of the Cerro Los Gatos mine, we have identified the Portoguanio and San Luis targets as high priority for follow-up, and these areas are also planned for drilling in the upcoming quarters. We are also really excited by the Cascabel and Mamba structures in between Cerro Los Gatos and Ester. And while we have started some drilling and haven't hit high grade there yet, we have great structures and alteration already defined and think that this area has all the rate ingredients for a significant deposit to exist there.
 Turning back to the Cerro Los Gatos operation and the table on the right of Slide 13, shows our 2023 production and cost guidance for the annual -- for the year, with silver production expected to be between 7.4 million and 8.2 million ounces and silver equivalent at around 13 million ounces with all-in sustaining costs similar to 2022.
 We plan to continue our focus on driving operational performance improvements, and that's on both production and on costs.
 Now I'll just turn to Slide 14 to wrap up. And over the last 18 months, we have been extremely busy as we have reset the foundation for this company. We have built a new experienced management team in Vancouver. We completed a new mineral reserve at Cerro Los Gatos with the filing of our technical reports, which was a very important milestone that we achieved late last year. 
 And then more recently, following that update, we had the big task of getting all the financial statements finalized, fixing up lots of historical issues in the process. and culminating in the announcements earlier this week. This has been a huge job for the team, including transitioning to a new auditor and getting success of financial statements filed this week. We are now current on all our financial filings.
 Now that this is behind us, the team is really focused on delivering on the exploration and growth potential of this amazing district. I'm really happy with how our new team has come together to achieve all of this, and we are now focused on delivering the upside.
 That ends the presentation material for today, and I'd like to turn back to the operator now for any questions. Thank you. 
Operator: [Operator Instructions] And your first question comes from the line of Michael Siperco of RBC Capital Markets. 
Michael Siperco: Maybe just first on the filings, can you provide a little bit more clarity on everything else that's outstanding from a regulatory perspective with respect to the OSE. You mentioned you filed for the removal of the management fees trading order. Is there anything else outstanding with respect to the TSX, NYSE, any other regulatory agency or the -- with respect to the credit facility? 
Dale Andres: Yes, mike. I'll start with the U.S. side on the New York Stock Exchange. Since we just filed late last night, we're informing them this morning. And we're now -- we expect to be taken off the delinquent filers list, and we're now clear on -- we should be clear on the New York Stock Exchange. So there's nothing left on that front.
 On the Canadian side, we still have an obligation to hold our annual meeting which has now been scheduled for September 6. So there's still regulatory commitments that we need to make to get current with our annual meeting, but it's just that it's scheduled, and we don't anticipate any issues on that side. And Andre, not sure if you want to comment on the credit facility. 
AndrÃ© van Niekerk: Regarding the credit facility, we had waivers for the filing of the financial statements in place, plus the presentation of financial covenant calculations, which has been provided to BMO now. So -- and within the time line of the waiver. So we never were out of line on the credit facility. 
Michael Siperco: Okay. Great. That's helpful. Congratulations on getting all of this done. Maybe flipping to operations in the near term, you reiterated guidance for 2023. Can you give a little bit of color, and I know 2Q is pending here, but can you give a little bit of color on what we should expect in terms of the grade profile over the rest of the year? Should we be expecting a steeper drop off in Q4? Or will it be relatively smooth throughout the year in terms of seeing that lower grade? 
Dale Andres: Yes, Mike. And what we've put out for our guidance is that we're going to see lower silver grades kind of reverting back towards reserve grade as the year progresses. We -- and so I don't think we'll drop all the way down to reserve grade by the end of the year, but you can take that as guidance. And I think from a silver perspective, I would expect it to be relatively flat over the remaining 3 quarters.
 We may see a slightly stronger fourth quarter, but it's going to be, as we guided less than the first quarter for the remaining 3 quarters is our expectation. And you'd see that from our guidance. We had 31% of the midpoint performance in Q1. From a base metals perspective, and again, as you can see from our run rate in the first quarter, we expect slightly higher grades in production throughout the rest of the year, and I expect that to remain relatively smooth for the rest of the year. 
Operator: [Operator Instructions] Your next question comes from the line of Lucas Pamatat of Canaccord. 
Lucas Pamatat: Congratulations on getting the financials here. Just a question on your balance sheet here. It ties in the presentation, you have $10 million as of the end of May. Obviously, you guys have just settled the class action lawsuit potential $8 million cash outflow there. What can you tell us about the dividends coming from the JV and why we didn't see on this quarter? 
Dale Andres: And maybe I'll start and then Andre can comment further. We're really -- and it's very simple. We're waiting for financials to be completed in the Los Gatos joint venture before the partners agreed to move cash back to both partners on a pro rata basis now that we've cleared the initial priority dividend last year.
 And I guess the only other comment I would make is we're looking at the most tax-efficient way to do that. Right now, just declaring dividends, there's a 5% withholding tax and we're looking at other options that potentially can save that 5%. And so that was the other reason we held back to the first part of the year. We do expect that to continue now back on a regular basis going forward. Andre, I'm not sure if you want to comment for it. 
AndrÃ© van Niekerk: No, I think you covered it though. 
Operator: There are no further questions at this time. Mr. Andres, I turn the call back over to you. 
Dale Andres: Operator. And I guess just in closing, it's a tremendous accomplishment. I really do want to congratulate the finance team at Gatos Silver for getting this recent job done and mission accomplished. The team is now looking forward to the future, on our extension of the mine life and our great district. We look forward to updating the market and everyone on that as we progress.
 And we should see second quarter production results and back on to a normal financial reporting schedule coming out of the second quarter. So I'm really, really pleased with that. Thank you all, and we'll talk to you next quarter. Thank you. 
Operator: This concludes today's conference call. You may now disconnect.